Operator: Good morning and welcome to the Bridgewater Bancshares 2024 Fourth Quarter Earnings Call. My name is Rocco and I will be your conference operator today. All participants have been placed in listen-only mode. After Bridgewater's opening remarks, there'll be a question-and-answer session. [Operator Instructions]. Please note that today's call is being recorded. At this time, I would like to introduce Justin Horstman, Vice President of Investor Relations to begin the conference call. Please go ahead sir.
Justin Horstman : Thank you, Rocco, and good morning, everyone. Joining me on today's call are Jerry Baack, Chairman and Chief Executive Officer; Joe Chybowski, President and Chief Financial Officer; Nick Place, Chief Banking Officer; and Jeff Shellberg, Chief Credit Officer. In just a few moments, we will provide an overview of our 2024 fourth quarter financial results. We will be referencing a slide presentation that is available on the Investor Relations section of Bridgewater's website, investors.bridgewaterbankmn.com. Following our opening remarks we will open the call for questions. During today's presentation, we may make projections or other forward-looking statements regarding future events or the future financial performance of the company. We caution that such statements are predictions and that actual results may differ materially. Please see the forward-looking statement disclosure in the slide presentation, and our 2024 fourth quarter earnings release for more information about risks and uncertainties, which may affect us. The information we will provide today is as of and for the quarter ended December 31, 2024 and we undertake no duty to update the information. We may also disclose non-GAAP financial measures during this call. We believe certain non-GAAP financial measures in addition to the related GAAP measures provide meaningful information to investors to help them understand the company's operating performance and trends and to facilitate comparisons with the performance of our peers. We caution these disclosures should not be viewed as a substitute for operating results determined in accordance with GAAP. Please see our slide presentation and 2024 fourth quarter earnings release for reconciliations of non-GAAP disclosures to the comparable GAAP measures. I would now like to turn the call over to Bridgewater's Chairman and CEO, Jerry Baack.
Jerry Baack: Thank you, Justin, and thank you everyone for joining us this morning. We were pleased to finish 2024 with a strong quarter. We saw robust balance sheet growth, a return to net interest margin expansion and superb asset quality. In addition, we were excited to close our acquisition of First Minnetonka City Bank, which was completed in mid-December, a quick turnaround, thanks to the efforts of our incredibly talented team. We reported adjusted earnings of $0.27 per share, which excludes merger-related expenses. Core deposit growth momentum continued in the fourth quarter as balances increased $211 million, or 31% annualized, excluding the deposits acquired from First Minnetonka City Bank. Our renewed focus on core deposit growth over the past two years has paid off, as our teams continue to expand relationships and onboard new ones. On the loan side, the pickup in demand we saw in the back half of 2024 translated into a rebound in loan growth as balances increased 7% annualized in the fourth quarter. Again, this is excluding the loans acquired from First Minnetonka City Bank. We always aim to align core deposit growth with loan growth over time. In 2024 including the acquisition, we generated total core deposit growth of 22%, which exceeded loan growth of 4%, ultimately reducing our loan-to-deposit ratio to 95% the lower end of our range. This is important as we look ahead to 2025. After being more defensive-minded from a growth perspective over the past couple of years due to challenging market conditions and reduced demand our strong core -- our strong core deposit growth combined with the acquisition of First Minnetonka City Bank have improved our liquidity profile putting us in a position to be more offensive-minded moving forward, exactly where we wanted to be. As the interest rate environment improved we were pleased to see net interest margin expand eight basis points in the fourth quarter after remaining steady throughout much of 2024. This contributed to total revenue growth of nearly 9% in the fourth quarter. Asset quality also remains superb. After net charge-offs and non-performing assets briefly ticked higher in the third quarter due to one central business district office loan both metrics came back down in the fourth quarter when the office property was sold in December. We continue to feel good about the quality of our loan portfolio and the strength of our credit team. Perhaps the most impactful thing that happened this quarter was welcoming the new team members and clients following the closing of First Minnetonka Citibank. The onboarding process was very smooth and overall response from clients and team members has been positive. The lessons we learned and the processes we developed through this transaction position us well as we think about executing on future acquisitions. It is worth noting that we received regulatory approval in just 55 days and closed the transaction in just 107 days following the announcement, a testament to our relationship with our regulators and the efforts taken to prepare for the deal in advance. Turning to Slide 4. Over the past few years, we've highlighted our ability to consistently grow tangible book value as a key value driver of our strategy. After 31 consecutive quarters of tangible book value growth, we saw a modest decline of 3% in the fourth quarter due to the acquisition, but still saw 5% growth for the year. Our focus on consistently building tangible book value continues to be an important part of our story, and we expect to resume growth in 2025. With that, I'll turn it over to Joe.
Joe Chybowski: Thank you, Jerry. Turning to Slide 5. A return to steady net interest income growth has been a big focus for us. We have now seen this for three quarters in a row, including an increase of $1.4 million or 5.3% from the third quarter. This was the result of strong average earning asset growth as well as the 8 basis point expansion of the net interest margin to 2.32%. The margin expansion was driven by declining deposit costs and a steady loan yield following Fed cuts in late 2024. There was a 2 basis point impact related to First Minnetonka City Bank's stub period net interest income following the deal close in mid-December as well as a 1 basis point impact from purchase accounting accretion. For the past several quarters, we've been talking about how our balance sheet is well positioned for rate cuts. We are pleased to see this play out in the fourth quarter. Slide 6 provides a closer look at the margin drivers. With a large portion of our funding base tied to short-term rates, we saw immediate repricing following the rate cuts in 2024. We've since begun to reduce rates on other deposit accounts as well. We've also seen a positive mix shift through a reduction in higher cost broker deposits, resulting in deposit costs declining 18 basis points to 3.40%. Loan yields held relatively stable during the fourth quarter due to our larger fixed rate portfolio, while yields on our smaller variable rate portfolio repriced lower following 100 basis points of rate cuts. New loan originations with a weighted average yield in the high 6s ramped up in the fourth quarter, but we won't see the full impact until the first quarter. Given the composition of our portfolio, we would expect to see the loan yield continue to slowly increase going forward, even if short-term rates continue to fall. We still have $680 million of fixed and adjustable rate loans maturing or repricing over the next 12 months at yields below new origination levels. Overall, we expect modest net interest margin expansion in 2025, the magnitude of which will be dependent on future Fed moves and the shape of the curve. Turning to Slide 7. You can see that total revenue and pre-provision net revenue continue to increase. While much of this was due to margin expansion and the increase in net interest income, non-interest income was also very strong in the fourth quarter, up $1 million or 66%. This was driven by higher letter of credit fees due to elevated construction activity and over $500,000 of swap fees as swaps made more sense for borrowers relative to other structures given the shape of the curve. Looking ahead to 2025, letter of credit fees will likely return to more normalized levels. We may see some additional swap fee income as well as we continue to leverage the product and educate borrowers. However, it is very transaction-specific, so it is likely to be sporadic. The First Minnetonka City Bank acquisition did not contribute materially to fee income in the fourth quarter as the acquisition closed in mid-December. On Slide 8, expenses continue to be well controlled and track in line with expectations. Total fourth quarter non-interest expense of $16.8 million included $488,000 of merger-related expenses. Excluding this, the majority of the quarterly increase was related to salary and benefit expense. With the acquisition closing in mid-December, we saw approximately $200,000 of stub period expenses during the fourth quarter. We have also been pleased to see our adjusted efficiency ratio trend from the high 50s into the mid-50s over the past couple of quarters. With that I'll turn it over to Nick.
Nick Place: Thanks, Joe. Turning to Slide 9. Core deposit growth was a highlight for us again this quarter, as balances increased $211 million or 31% annualized. This excludes $217 million of core deposits from the First Minnetonka City Bank acquisition. For the year, we were able to grow core deposits 13% excluding the acquired deposits. The strong growth during the quarter was a result of bringing on new clients, expanding existing relationships and leveraging a new online high-yield savings product we launched in the back half of the year. The deposit mix also improved as we pushed out $75 million of broker deposits in the fourth quarter and nearly $200 million over the course of 2024. This was part of a deliberate strategy to optimize the balance sheet for longer-term profitable growth. As we have said, core deposit growth is not always linear from quarter-to-quarter, due to the nature of our deposit base but we have shown an ability to steadily grow core deposits over time. We expect 2025 core deposit growth to track in line with loan growth, keeping in mind that we could see some quarters with larger inflows or outflows. Loan growth was also strong this quarter as you can see on Slide 10, with balances up 7% annualized excluding $117 million of acquired deposits – or acquired loans. In total, we saw full year loan growth of nearly 4% in line with our low to mid-single-digit target for the year. The fourth quarter growth was the result of the increased loan demand, we have seen in recent quarters, which translated into a nice uptick in new originations. This strong demand has continued as borrowers remain interested in new projects following the recent rate cuts. As we sit here today, our loan pipeline remains near two-year highs. That said, competition remains stiff and is resulting in tighter spreads, while the potential of higher for longer rates and the shape of the yield curve may impact demand moving forward. Overall, the strong deposit growth over the past two quarters including the acquisition of First Minnetonka City Bank has put us in a better liquidity position as our loan-to-deposit ratio dropped below 95%. Couple this, with a more favorable environment and we feel we can be more aggressive in 2025 returning to more normalized level of profitable growth as we target mid- to high single-digit loan growth for the full year of 2025. Slide 11 provides a closer look at our origination and payoff activity, which saw a reversal during the fourth quarter. As I mentioned, we saw a large increase in new originations after slowing over the past few quarters. We also saw a seasonal increase in line advances in the fourth quarter, which could create an early growth headwind in 2025 as these balances likely run off. Payoffs on the other hand remained elevated but declined from third quarter levels. This just means that there continues to be liquidity in the market which we can redeploy the new loans at higher yields. Overall, net loan growth will continue to be dependent upon the levels of new originations and payoffs, given the current rate environment. Slide 12 looks at the mix of the loan portfolio, now including the loans from First Minnetonka City Bank, which made up all of the growth in leases and the majority of the growth in the one to four family mortgages during the fourth quarter. We saw strong growth in our non-owner-occupied CRE and multifamily portfolios. Despite the growth, the overall mix of multifamily declined slightly due to the acquisition. While migration out of the construction portfolio continued, we have seen an increase in new construction projects. Construction commitments in the fourth quarter were the highest we have seen since the fourth quarter of 2022. We would expect these to fund and translate into balance sheet growth over the next year or so. We remain very comfortable with the overall mix of the loan portfolio, especially with the additional diversification from the acquisition. Looking ahead to 2025, we expect to see additional growth across CRE and C&I, as well as multifamily, where we continue to leverage our expertise in the affordable housing space. With that I'll turn it over to Jeff.
Jeff Shellberg: Thanks, Nick. Slide 13 highlights our multifamily and office exposure. Positive multifamily market trends in the Twin Cities have continued, with vacancy rates well below peak levels as demand has remained elevated and construction has slowed. The strong labor market and near nation-leading affordability has led to improved absorption levels, all of which suggest a favorable outlook for future occupancy and rent growth. We have also started our 2025 covenant testing for our multifamily and non-owner-occupied CRE portfolios, which we expect to complete about 75% by the end of the first quarter. As in prior years, we will have action plans in place for any issues identified. We remain bullish on multifamily in the Twin Cities, given the improved market trends, and our track record and expertise in this space. Our non-owner-occupied CRE office exposure remains quite limited at just 5% of total loans. This includes three office properties located in central business districts totaling $26 million. One of these loans is currently rated special mention. It cash flows today, but has lease rollover risk, which we are monitoring. The other two loans are performing well. You may recall that, we took a $935,000 charge-off on a central business district office loan during the third quarter. We mentioned it was under purchase agreement to be sold, which was completed in December. We took another $300,000 cleanup charge-off on this credit in the fourth quarter, but it is now off our books. The total loss on this loan was about 15% of the principal balance, which is reasonable given today's environment. While we feel comfortable with our office portfolio overall, there is still market stress in this asset class for properties depending on their characteristics, which is reflected in our risk ratings. Turning to slide 14. Our overall credit metrics remain very clean in the fourth quarter with only three basis points of net charge-offs and one basis point of non-performing assets. We recorded a $1.5 million provision in the fourth quarter, which included $950,000 for non-PCD loans acquired from First Minnetonka City Bank. We also had a $725,000 provision for off-balance sheet credit exposure related to unfunded commitments. We remain well reserved at 1.35% of gross loans, which is well in excess of peer levels. On slide 15, we are including our first special mention rated loan with our watch list loans. We did see an uptick in watch and special mention bucket due to one multifamily loan, which we are keeping an eye on and the addition of First Minnetonka City Bank watch list loans. Substandard loans declined due to the sale of the Central Business District office property I mentioned earlier. We continue to monitor the loan book as well as the interest rate and economic environments. But overall, we feel good about the quality of the portfolio as we head into 2025. I'll now turn it back over to Joe.
Joe Chybowski: Thanks Jeff. Slide 16 highlights our strong capital ratios, which have been steadily building over the past several quarters as loan growth slowed. Given the acquisition completed in the fourth quarter, we saw a modest decline in the ratios. However, CET1 remained above our 9% target. Going forward, we expect to continue modestly building capital, keeping in mind that we anticipate the pace of loan growth to increase in 2025. Given the acquisition, we did not repurchase any shares during the fourth quarter, and we still have $15.3 million remaining, under the current share repurchase authorization. We will continue to evaluate future repurchases based on a variety of factors, including capital levels, growth opportunities, and other uses of capital. Turning to slide 17, I'll recap our expectations for 2025. To start, I would say that, all of our assumptions from the First Minnetonka City Bank acquisition remain on track. This includes the 30% cost savings we expect to realize in 2025, as well as the total merger-related expenses. And the purchase accounting marks actually came in a bit more favorable than expected resulting in less goodwill. With the additional liquidity from the deal, we expect full year loan growth in 2025 to be in the mid- to high single-digit range, while maintaining a loan-to-deposit ratio between 95% and 105%. We expect continued modest net interest margin expansion in 2025, the pace of which will depend on the rate outlook and the shape of the yield curve. As a higher for longer and flat yield curve environment could mute some of the upside. We anticipate that purchase accounting accretion will contribute an additional one to two basis points to the margin per quarter in 2025. Regardless with some margin expansion and a pickup in loan growth, we believe we will see continued net interest income and revenue growth. We expect non-interest expense growth, excluding merger-related expenses to be in the high-teens range for the full year of 2025, supporting the additional assets from the acquisition and anticipated increase in our pace of loan growth. Expense growth will be driven by continued investments in our people and technology as well as some redundant expenses until we reach systems conversion. Provision will remain dependent on the pace of loan growth and the overall asset quality of the portfolio. We could also see additional provision for unfunded commitments, as new construction activity continues. I'll now turn it back over to Jerry.
Jerry Baack: Thanks, Joe. Finishing on Slide 18, I want to provide an overview of our strategic priorities for 2025. First and foremost, we look forward to returning to a more normalized level of profitable loan growth. We think wrapping back up to the mid to high single digits is certainly feasible, especially given the improved market conditions and our stronger liquidity position. And we believe we can do this without compromising on credit. Second, we aim to continue gaining loan and deposit market share. Obviously, with our growth aspirations, this is a key priority for us every year. But now we have an expanded branch network adding two new branches through the acquisition and a new de novo branch scheduled to open in the East Metro later this year. This is an expansion into a growing part of the Twin Cities with very little competition and a nice concentration of current and potential clients. We also continue to make inroads in targeted verticals, such as our women's network and affordable housing. We have plenty of room to grow in the affordable housing space, as we leverage our expertise on a national level. This is an opportunity we are well suited for and are excited about the commitment to this space. Also, over the past several years, we have been the beneficiary of market disruption in the Twin Cities, as several local banks were acquired by out-of-state buyers. With more of this likely coming in 2025, we know we will see opportunities to add talent and win new client relationships. Third, is leveraging our technology investments to support growth, the client experience and efficiencies across the bank. This includes expanding the scope of recent investments, as well as rolling out a new online banking solution for retail and small business clients. This will enable us to expand our product offering, making us even more attractive to the client base we already serve and beyond. Finally, we will focus on the systems conversion of our recent acquisition, which we expect to occur in the third quarter. We're in a great position to ensure a smooth transition. We also want to be ready to execute on any additional M&A opportunities that may become available and make strategic sense for us. Overall, I'm excited about the outlook for 2025. We have the team, Board support and engaged leadership to continue moving the bank forward. Our team takes time to plan and has proven it can execute independent of market forces. We have plenty of opportunities that we intend to take advantage of that will enable us to drive value for the organization and ultimately our shareholders. With that, we'll open it up for questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Today's first question comes from Brendan Nosal with Hovde. Please go ahead.
Brendan Nosal: Hey good morning everybody. Hope you are doing well? Maybe starting off here on the improved growth outlook for '25, I mean it certainly seems like you greenlit more growth than you saw in 2024. Can you just talk about how much of that is an increase in credit supply on your part versus an increase in loan demand in the underlying market and then tie that into how that factors into the funding complex over the next 12 months? Thanks.
Nick Place: Hey Brendan, this is Nick. We've always felt that our growth engine is there and operating. As we mentioned in the prepared remarks, we were very intentional throughout '24 about trying to align our loan growth with our deposit growth. And I think we did a good job to not only do that, but exceed in that category. As we think about '25, the momentum that we had in core deposit growth through the fourth quarter and as we've seen that continuing with our teams and then you layer in the addition of First Minnetonka City Bank, I think we feel like we're really positioned to be able to take advantage of the opportunities in our market. The pullback in rates did help some deals -- some transactions to pencil a bit easier in the fourth quarter. But that said, we continue to get a lot of looks at a lot of transactions that we've been selective on in the past or in some cases had a wider margin on our quotes just to make sure that those transactions were as profitable as we needed them to be given our balance sheet composition. And given the more favorable structure of our balance sheet today, I think we're really positioned well to be able to be aggressive on the really great deals in the market that we continue to get in front of which should translate to future growth. So, we really feel great about our position and what the prospects look like for next year.
Brendan Nosal: Okay. Awesome. Thank you, Nick. Maybe turning to the expense outlook. Kind of just pairing up the high-teens expense outlook versus the mid to high single-digit organic loan growth. I mean is that discrepancy just due entirely to First Minnetonka coming on to the cost base. And I guess in other words, like is that core relationship between your asset growth and your cost growth still intact?
Joe Chybowski: Yes good question Brendan. Yes. So, I think the high-teens guide, like you said, it's -- if you see the high single-digit loan growth translate which we're confident it will, obviously, that's where you get our legacy Bridgewater guide in terms of expenses. Yes, and the other half of that to your point is really just assuming the First Minnetonka City operation. I think when we look at it they were 5% of our assets but 10% of our expense base. So, I think we'll spend $25 million going through and really trying to rationalize those expenses. I feel good about the cost saves. But obviously there's certainly some redundancies in duplication that we work through throughout 2025. So, to your point that's how you back into that high teens guide.
Brendan Nosal: Yes. Okay. That makes sense Joe. Let me sneak one more in Joe for you I'm going to try and peg you down on the margin outlook a little more here. So, core margin was up 9 basis points for the quarter without really any help from earning asset yields out of the equation. So, I guess as we look ahead, deposit pricing should still lag down a little more and then you get that more powerful back book loan repricing, which should help the left side of the balance sheet yields. So, what does modest margin expansion guide per quarter mean relative to this quarter's 9 basis points of expansion?
Joe Chybowski: Yes, I mean it's a good question. I think when we think about 1Q, I mean we anticipate similar traction that we saw in the fourth quarter when we think about the expansion that translated. So, I think you've laid out exactly the dynamics of the balance sheet. For context, cost of deposits in December was at 3.31%. So, that's down 9 basis points from the quarterly average of 3.40%. So, I think that will provide some insight too on how to think about it. But I think overarching, I mean it's -- the rate outlook is obviously very uncertain. Powell was pretty non-committal yesterday in terms of cuts. And so we only have one cut baked into 2025 and obviously that explicitly drives the funding side which we have a significant amount of deposits tied to short-term rates. And so if you only have one cut in 2025, there's less there. But I think for us we continue to look at the rest of the deposit base and really rationalize expense or deposit costs across the deposit portfolio and we see continued opportunity there. And then obviously with the pickup in loan growth, while the loan yields continue to expand, I think more importantly when you put all that together, we're really trying to drive net interest income. And I feel like with this return to growth, I mean that's what we're most focused on. So, the modest guide on the NIM side, obviously, I think you kind of put that all together we're confident with and I feel like 1Q should look similar to 4Q.
Brendan Nosal: Okay, fantastic. Thank you for taking my questions.
Operator: Thank you. And our next question comes from Jeff Rulis with D.A. Davidson. Please go ahead.
Jeff Rulis: Thanks. Good morning. Joe just to circle back to the margin. Do you have a December average for the margin itself?
Joe Chybowski: Yes, 2.36% in December.
Jeff Rulis: Got you. And the modest growth, does that exclude the -- I know the accretion the 1 to 2 basis points is modest in its own rate. But does that include the accretion as well or is that accretion would be on top of modest margin expansion?
Joe Chybowski: No, that's included. So, full year accretion is right around $3 million, that's how we get to the 1 to 2 basis points per quarter. That's included in the modest guide.
Jeff Rulis: Okay, fair enough. And maybe Nick on the loan growth guide, just attacking the other piece of this would be -- I would assume there's some assumption of our ring-fencing payoff activity for the year. Anything to glean in terms of expectations of you expect sustained levels more or less anything on -- it's a tough number to nail down, but anything on payoffs?
Nick Place: You bet. Yeah, it's a tough number to pin down. I mean, as we model forward, I think we're expecting similar levels to what we saw in Q4. I think that's probably a good run rate for us for a little while. We feel really good though about our ability to continue to put out -- replace those with new originations. Our Q4 new origination levels were high as they've been since the summer of 2022. So even with the elevated levels of payoffs that we've seen over the last couple of quarters I think this return to a more normalized level of new originations should allow us to continue to face that headwind and push forward with further growth.
Jeff Rulis: Got it. And then just a housekeeping. On mapping the merger costs were those largely professional fees and other expenses? Just trying to line item where those might come out?
Joe Chybowski: Yeah, that's exactly right. So about the $700,000 was primarily that. And then obviously the more operational will translate in 2-25.
Jeff Rulis: Okay, great.
Joe Chybowski: Still on track for that. Still on track for onetime expenses that we outlined when the deal was announced.
Operator: Thank you. [Operator Instructions] Our next question comes from Nathan Race with Piper Sandler. Please go ahead.
Nathan Race: Hey guys, good morning. Thanks for taking the questions. Looking at slide 21 with the roughly 14%, 15% of your funding base that can reprice lower over the next 12 months come out at 4.50%. Just curious what you see in terms of the replacement rate on that funding based on kind of where you're priced on CDs today and what you can see in wholesale channels as well?
Nick Place: Hey, Nathan this is Nick. The question was on loan yields as deals roll off.
Nathan Race: No, I'm sorry. It was on the right side of the balance sheet. Looking at slide 21 you have about 14% of your funding base is going to reprice lower this year. So just curious, kind of, what the incremental replacement rate on that funding based on where you're priced on CDs today and what you can see in wholesale channels as well?
Joe Chybowski: Yeah, Nate this is Joe. So I think we're seeing, obviously, better opportunities to reprice there. I mean stuff is now in the high threes, if you want to replace on short-term CDs. I think money market opportunities are somewhat linked to Fed funds, but we're able to actually price with somewhat of a Fed funds minus on the money market side. So continue to also have optionality to call the brokered CD portfolio. So I think we've been really mindful with that always. And I think this year we called almost $200 million of brokered deposits north of 5%. We're able to call and reissue in some cases or in cases like this last quarter where we certainly had strong core growth we're able to just call and not replace and obviously bring in lower cost core deposit money. So definitely seeing opportunities outside of that that's explicitly tied to Fed funds to also reprice deposits.
Nathan Race: Okay. Great. That's very helpful. And just going back to the margin discussion and kind of put it in the context of NII growth expectations for this year. If we do get that one Fed cut in maybe the middle part of the year. Just curious if you can kind of speak to the magnitude of growth that you expect based on kind of what we've discussed from a loan and deposit growth outlook?
Joe Chybowski: Yes. I mean, I think, it's one of those when you put it all together that we expect from an NII perspective something to roll in place with asset growth. So, I mean, if you're high single-digit asset growth, you'd expect something like that to translate on the net interest income side. I think, it's hard given the timing of all that. But I think when you look about the composition of the balance sheet and the growth that we anticipate on the loan side continued repricing higher with what's rolling off, I think, we feel good about net interest income growth.
Nathan Race: Okay. But not necessarily just in the high single-digit range correct?
Joe Chybowski : No I think in the low double-digit range, I think, is how we think about NII just given those components.
Nathan Race: Okay. Got it. Makes sense. Jerry in your remarks you mentioned some opportunities to benefit from some of the disruption going on in the Twin Cities of late. So just curious maybe where you're looking at talent. I believe you guys picked up the small wealth management operation with the recent acquisition, but just curious maybe kind of where you're looking to add talent across the organization going forward.
Jerry Baack : It's really continues to be across all of our departments whether that be in risk or in our treasury department or our loan portfolio. It's -- there's been -- with the disruption with [indiscernible] being sold, it is certainly positive for us. And we've talked to some people over there and from other banks too. So it's there's some good talent out there left to be picked up. That's for sure.
Nathan Race: All right guys. I appreciate all the color. Thank you.
Operator: Thank you. And this concludes our question-and-answer session. I'd like to turn the conference back over to Jerry Baack for closing remarks.
Jerry Baack : Well, I just want to thank everybody for joining the call today. We're very pleased with strong finish to our 2024 and the momentum we have going here in 2025. I also want to shout out that welcome First Minnetonka City Bank team members in their client base, and of course, the team that we've had here for a long time. So, it's continue to be very optimistic about 2025 and I appreciate everybody joining the call today.
Operator: Thank you, sir. This concludes today's conference call. We thank you all for attending today's presentation. You may now disconnect your lines. And have a wonderful day.